Operator: Welcome, and thank you for joining the Nexi Full Year 2021 Preliminary Financial Results Conference Call. As a reminder, all participants in listen only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Paolo Bertoluzzo, CEO of Nexi. Please, go ahead, sir.
Paolo Bertoluzzo: Thank you, and good morning to everyone joining this call. Welcome to our Results Call for Fourth Quarter 2021 and most importantly for full-year results for last year. As usual, I'm here with Bernardo Mingrone, our CFO; Stefania Mantegazza leading our Investor Relations team; and a few other colleagues that may help us to address any specific issues and questions that you may have. The structure of the presentation today is very much in-line with the past. We will give you a quick update on what we see in terms of volume dynamics as we basically follow the evolution of the various COVID waves, then we'll move into results; we will give you an update on our integration and transformation initiatives; and most importantly, at the end, we will also share with you the new ambition for 2022 for the new group including also SIA. So, please, always remember that when we talk about results for 2021, we talk about Nexi plus Net. Instead, when we talk about guidance and our ambition for next year, we're talking about the new perimeter Nexi, plus Nets, plus SIA, given the fact that at the end of last year, we have closed the merger with SIA as well. We will probably go pretty fast in the presentation. We believe it is quite explanatory, so that we can leave more time for your questions. So let me start with the volumes. Actually, let me start with the key messages of the day. Three key messages for today. First message, continued volume growth, I would say, especially in Italy, but also with a positive trend also in the other geographies despite the Omicron variants that came in December, basically were affecting some geographies in earlier than December. We have seen and we are now seeing double-digit growth in Italy in the second half of January. So there is more recent trend as we start to exit slowly, but hopefully, in a consistent way from this latest COVID variant as well. So, we see compared to pre-COVID levels, so to compare to 2019 more than double-digit growth immediately driven by a very solid growth in basic consumption and Italian Cards growing anywhere between 25% and 30%. We also see continued positive volume growth in the Nordics in the fourth quarter with actually basic consumption growing above 30% compared to pre-COVID DACH -- in particular, Germany is actually still recovering but as lower space due to the large exporter that we have in terms of volumes to travel EMEA [ph] basic consumption is actually growing double digit nicely anywhere in between 25% and 30%. SMEs seem to continue to accelerate faster than larger merchants, which is a positive for our economics and across all geographies, we continue to see a strong acceleration from cash to digital payments in the sectors in the industry that are less affected by COVID. So, first message, continued volume growth despite the arrival of the Omicron variant. Second key message, saw financial performance in the fourth quarter and for the full year. Revenues were up 11% in the fourth quarter and 10% for the full year, 11% for the fourth quarter despite we were not expecting actually the fourth -- the Omicron variant coming in November, December. Strong revenue growth in particular, in Merchant Services & Solutions, with both Nexi and Nets growing at about 13% in the quarter and 11% for the full year. E-commerce continues to perform strongly, about 29% with 29% growth versus last year. EBITDA 12% plus in the quarter and also in the year with continued margin expansion this year that is a one percentage point margin expansion across the new entity. Third key message, we continue to progress in creating the new company, the European PayTech leader. As you know, we closed the deal, the merger Nexi-SIA at the end of 2021. As you can see in one of the attachments, we've seen a very strong performance in the year from SIA stand-alone, basically in-line with the performance of Nexi and Nets. Our work in integrating the companies and driving the synergies on the back of it continues and we confirm that in 2022, we plan to deliver about €100 million of cash synergies. And last but not least, we'll talk more about this as we go forward. Strong progress on the ESG front. It is more and more important for our future as it should be for any other company with actually strong progress very well-witnessed by a strong improvement in the ratings. Standard & Poor Global at C+ plus 7 [ph] points versus last year, CDP A- [ph] versus C last year. So, strong progress positioning our company in the top quartile of the industry and we will continue to push for more. So we are delivering the ambition that we had anticipated in July on the new perimeter which was already higher than what we had committed to at the beginning of the year despite the arrival of the Omicron variant. And for the new year, assuming that we will come back to a normal situation as far as COVID is concerned from the beginning of the second quarter across all geographies, we expect to have revenues growing anywhere in between 7% and 9%, with actually merchant services -- and this is very important, growing double digits. With EBITDA growing anywhere between 13% and 16%, very well supported by continuing effects of our operating leverage and the positive impact of the synergies that I've mentioned. Although a good part of the synergies we decided to reinvest them in an accelerated future growth on our highest growth opportunities -- in particular, I would say, Germany and E-commerce. Now let me jump into volumes and I go directly to Page 5. Here, you see as usual, the dynamic that we observe on the merchant side of the business. Again, all these numbers -- at least the recent numbers compared [indiscernible] to 2019 to be able to give you a constant benchmark that is the relevant one. Here, you see that in Italy, we had a bit of a slowdown at the end of last year and the beginning of January as well due to the lockdowns, but more in general due to the fact that I think across most of the countries, almost 10% of the population was either infected or actually in quarantine because of contact with infected people. The good thing is that as the situation has started to improve, you see that the second half of the month, we were actually at a total of 20% growth versus 2019, which is the highest performance since the beginning of COVID and with a nice 26% on Italian Cards while international travelers coming to it are unfortunately still weak, even if at levels that are much better compared to the ones of the previous waves. If we go to the next page, as usual, you have the split across the three macro categories. In here, again, you see a super strong acceleration of the basic services categories from groceries, to general retail, to pharmacies, utilities and so on, and so forth growing nicely at around 40% over the last month. Basically, you also see that in the latter part of January, also the other two categories, High Impact and Discretionary consumption came back into positive. These two categories are also very much affected by the weakness of international travel. If you look at these two categories for Italian Cards only that are already actually growing double-digit at around 10%, each one of them. If we now move to the next page, we extend the picture to the other key geographies for us, the Nordics and the DACH region. Again, here, you see that both of them has been affected by the new variant effects across December and January. However, good news for both situations is that we really see a super strong growth in the basic consumption sectors with actually the Nordics growing above 40% in January, which again is a great signal of a much further potential. There is also in the Nordics despite the very high penetration that is already present there. And also in Germany, in January, we've seen a 27% growth in the basic sectors with groceries growing actually even more than 40%. As always, I want to I remind everybody that the overall volume dynamic in Germany, in particular, is affected by the fact that there is in terms of volumes, high weight for the High Impact sectors, the travel sectors in particular that, as you can imagine, are very much affected by the COVID situation. Moving to Page 8. Here, we give you, as usual, a snapshot of some of the sectors that have been particularly strong in terms of volume growth, always compared to 2019. I will not go through all of them, but you see many, many sectors growing only double digit, but in the third and in the fourth is, in some cases, above 60% to 70%. I just want to underline one sector that is grocery. The grocery is an important sector across all geographies and I think is also one that is very telling when it comes to cash-to-digital payments conversion and is one that is not affected by COVID. 65% growth in Italy, 37% growth in the Nordics, 42% growth in DACH. So, very good continued acceleration of the shift for digital payments. So this is it in terms of volumes. Happy to take questions when we come to our Q&A session. Let me now move to results. Page 10. Let me start with the bigger picture total group. And again, here, the perimeter is Nexi plus Nets. For the year, plus 10% of revenues -- actually plus 11.1% in the quarter with a nice acceleration in the quarter. EBITDA plus 12%-12.1% in the year plus 11.6% in the quarter for the full year, a one percentage point margin expansion. Moving to the individual business units. And here, I'll try to give you, as we normally do at half-year and full-year results a bit of color of what is happening in terms of the business activities as well. When it comes to Merchant Services & Solutions, we spent a good amount of time on this topic in our last results call. So, I will go a bit quicker here. Let me just mention a few relevant points. SMEs, they represent 59% of the revenues in the merchant services space, did continue to progress well, 13% volume growth compared to the same in the last quarter to compare to the same quarter in 2019. We continue to see good traction, good acceleration in Germany with our all-in SmartPay digital proposition for SMEs as well as we continue to see a very good traction for our new-to-card [ph] proposition with the mobile post [ph] in Italy. Now this proposition represents around 20% of the front book. And last but not least, let me also mention the fact that we are continuously expanding the contribution of complementary channels across geographies, but in particular, in Italy, where actually complementary channels contribution grew by 3x in 2021 compared to 2020, and we will continue to push in that direction as some of the new customers are actually shopping in through different channels and not necessarily directly from the banks. For the second area, E-commerce, 23% of our revenues with the progress, I would say, across the board, with the progress with our PSP propositions, acceptance propositions, I would say, across Germany, the Nordics and Italy as well with a growth of 50% of new gateway [ph] activations compared to pre-COVID levels. We also continue to expand the capabilities that we have on the product side. And in parallel to the PSP efforts as you know, we are also very focused on the account-to-account alternative metal [ph] solutions, where we own very nice assets in Poland and in Finland and they are doing really well. But at the same time, we integrate more and more in our sector [ph] solutions, third-party account-to-account solutions like, for example, Bancomat Pay in Italy. Last but not least, we continue to see a very strong performance of our own buy now, pay later solution or Ratepay in Germany, but at the same time, also a year, we are expanding our portfolio of partnerships to be able to offer to our merchant customers alternative buy now, pay later solutions across all geographies. Last but not least, the larger merchants, the larger omnichannel merchants that represent about 9% of the total revenues in Merchant Services and therefore about 4% of the total for the company. Again, here, we continue to see a good performance, especially in industries where we focus, such as, for example, food retail. In here, we continue to win or renew against both traditional players competition, but also the newer competitors that are coming into the space. At the same time, the other thing that I want to underline is that we are progressing our sales plans as a new group to be able not only to respond to new tenders across border, but also to start upselling to customers that we have in one geography that are not yet our customers at the other geographies. There is a nice pipeline being developed in that space. So moving to the numbers, Page 12. In the quarter, in Merchant Services, we did grow 13.3% and this is an acceleration in a year that we are closing at plus 11.4%. You also find here some data on the volume dynamics versus 2020, but I will let you read them and therefore, let me jump to the next business unit, Page 13. Cards and Digital Payments, again, business asset here. The business for your memory, is about two-thirds of revenues in Italy and about a third of it in the Nordics and in the rest of Europe. In Italy, we see good traction of our credit proposition with the licensing banks, also supported by a good performance from our installment solution from our buy now, pay later solutions that is available as an option on our credit cards. We have also launched the credit premium product that is receiving a very, very good support from the banks and good traction in the market. As far as debit is concerned, our international debit is continuously progressing well. We did add 1.5 million cards in the year compared to the year before. Volumes are growing almost 30% in the year and almost 40% in the fourth quarter. Again, we also launched the premium product in this space and we see a good traction for that one as well. In parallel, as you know, we're also serving the banks and the customers of the banks on the national debit proposition on Bancomat, where we've seen good volume progression. But most importantly, especially now with the combination we see that are actually partnering with Bancomat to help Bancomat and the banks develop the next-generation platform and solution and offering for the Italian market. Last but not least, I think it's just a nice other point, contactless up 80% to 84% of transaction compared to 66 pre-COVID levels and actually mobile payments are growing more than 100% in the year, actually 123% over the previous quarter. In the Nordics, we're also making good progress. The issuer business in the Nordics is now completely reshaped. 97% of the revenues that were with legacy contracts have now been renegotiated. And in parallel, there is a lot of activity happening to drive future growth in terms of new customer wins and pipeline in the Nordics, but most importantly, across the rest of Europe. Together with that, expanding the existing relationship with more value-added services and propositions such as, for example, car management, account management services and with a new effort now ongoing in upselling the next Italian reach proposition, the licensing proposition or components of it, like, for example, customer value management to the customer base of the banks. Results here as well at Page 14. In the quarter, we did grow 8.2% revenues that is up compared to the previous quarter and we are closing the year at a nice 7.4%. Here, actually, you have a little bit of two different profile of the performance. Italy has been growing double-digit in the year and in the quarter, while actually in the Nordics, we are still affected by the effects of the renegotiations that I've mentioned and in particular, one single plan renegotiation that is limiting the growth in the region. Moving to the third business unit, Digital Banking and Corporate Solutions, key business update. Good progress, I would say, across the board in business-to-business and corporate payments, a strong growth of instant payment. Volumes much, much higher, 4x higher than what it was in 2021. Digital corporate banking proposition progressing well as well with a customer base growth of about 5% and the extension of our partnership with CBI that is the fact of the Banking Association Italian multibank infrastructure here. We were already partners and we have won basically the modernization of the current platform into a more innovative one serving of both corporate and public administration. Open banking is small in absolute terms, but as you see from the numbers here, good progress with volumes growing at 80% in the year with a good acceleration in the latter part of the year. Sales banking some new sales of new customers, in particular in the area of value-added services, but also a continued transition from traditional ATMs to advanced ATMs that are for us a richer proposition. And last but not least, the Nordics security and digitalization businesses. In the Nordics, we have launched them. We're now ramping up the new electronic ID platform that we have developed basically for the country. Here, the entire country in Denmark is actually using Nets services here. This has been launched in October and we are now actually seizing the legacy platform [indiscernible] -- the legacy platform from October. At the same time, in parallel, we have the digitization services growing double-digit and continue to grow strongly across the board. Numbers again here in the quarter, this business unit grew 6.2% and 9.8% in the year. Now, let me -- before going into cost and handing over to Bernardo -- take the current review on Page 17. Italy grew in the quarter, 9.3%, 11.3% for the year; the DACH region in Poland, 26% in the quarter, 20% in the year; Nordics, 6% in the quarter, 3% in the year and therefore a good acceleration in the latter part of the year; South and Eastern Europe 14.8% in the quarter, 7.9% in the year. Now let me hand over to Bernardo and I will come back for conclusions.
Bernardo Mingrone: Thanks, Paolo, and good afternoon to everyone, also from me. Page 18, starting on costs. As you can see, the costs in the year, as we've discussed in the past were influenced by, I'd say broadly speaking, two large effects -- one on HR cost, which is the spring back, let's say, of variable compensation, accruals and payments in Nexi compared to 2020 and the other one is the impact of volume. So, 2020 was a year in which we exercised our discretion in trying to reduce costs as much as possible in the cost containment plan of €100 million, which reduced costs in 2020, shifting part of this expense to 2022 and we have the spring back this year enhanced the growth in costs. Within the quarter, we have this effect. It's actually slightly distorted by specific items in December in the quarter and the fourth quarter tends to be a little funny with regards to costs, the way certain things happen towards year-end. But essentially, what we've tried to do is normalize the performance in terms of costs, and we've given you an idea on the right, the way we look at it is that basically, costs were more or less flat in the year. We've seen HR costs come slightly down and that the early benefit from the Nexi-Nets integration of some HR synergies, which we've had whereas with regards to operating costs, they've increased approximately 2% on a like-for-like basis and overall, I would say, flat, which is historically what our trend has been broadly speaking at Nexi. Moving on to Slide 19. Again, on CapEx, we should remember that we had this cash containment program in 2020, which shifted where we suspended certain activities in 2020, which didn't mean we weren't going to do them. We just happened to do them in 2022 compared to 2020. It was roughly, I'd say, approximately €20 million at the time. So if we adjust for that, the performance year-on-year were another performance, but the percentage of CapEx over revenues is roughly flat, around 14% in both years. If we look at the increase in ordinary CapEx, which runs at about 10% of revenues, just the growth in revenues for the year suggests that $188 million would grow by approximately €20 million if you add the other €20 million of CapEx, which has shifted one year to the next, you get to the figure for 2021. With regards to the transformation CapEx, it should be said that Nexi-Nets were both going through their own transformation journeys before the merger was announced. Nexi was further down the line, Nets was a little further behind and 2021 was a significant transformation year for Nets with Centurion transaction where they disposed of their A2A business to Mastercard, plus the divisionalization of the company, which drove most of the transformational spend on a stand-alone basis. We have listed a number of the items here on the right, which are the ones you're used to, so I won't go through them. What we've done on Slide 20 is give you a view and these are numbers which also include SIA's. So, the starting point for 2021 aggregates also to SIA. And remember that the SIA transaction actually closed on December 31. So, what we've done is a pro forma from 2021 and you see total CapEx of around 15% of revenue. SIA has a slightly higher CapEx intensity than Nets or Nexi. And the overall CapEx spend for the combined group has approximately €430 million, of which approximately €300 million ordinary CapEx and €130 million transformation. So, what we're saying is that we have approximately on top of the run rate, 10% of revenues CapEx, which includes also the purchase of terminals, costs and ATM terminals. We are going to spend approximately €300 million between 2022 and 2025 on both the completion of the transformation of the three companies. So, those projects for instance, at Nexi level, I would quote the core acquiring platform. SIA, there's a lot of work being done on the new issuing platform exactly. Nexi was completing the uni-platform. So completion of those projects, plus the integration of Nets and SIA into Nexi. The sum of all of this will involve approximately €300 million of CapEx being deployed over the next three or four years. And as you can see, if you work the numbers out from the guidance we've given, approximately 10% of revenues for 2022 is approximately €330 million and 16% of revenues takes it to €530 million, so approximately €200 million of that €300 million will be spent during the course of 2022, which is going to be the peak year in terms of CapEx spend for the enlarged group. Moving on to Slide 21. We also have transformation costs, which are not CapEx, so OpEx, they flow through our P&L. We classify them below EBITDA because they are nonrecurring in nature. Obviously, to the extent we continue doing M&A, we will have some of these items here. As in the past, we see significant reduction almost immediately after the M&A. This was true for Nexi in the past, it was true for Nets and we believe this will hold true going forward and that we'll speak that with regards to guidance. But overall, we have a reduction of 25% in transformation costs from 2020 to 2021. That takes us to €170 million. In addition to that, we incurred approximately €57 million to set up the integration of Nets and SIA. You see that on the table on the right. And then we had advisory costs for the two M&A transactions involved in Nexi, the Centurion deal, which was the sale by Nets to Mastercard of their A2A business and a number of other smaller M&A deals. Advisers of world banks, their investment banks, accountants, lawyers, et cetera, close to €100 million of spend. We have a recurring non-cash item, which is the LTI paid by Nexi's group through our executive management and the larger population. And then we have this year in 2021, an accrual with regards to the likely payments to Intesa of an earn-out related to the acquisition of the merchant book, which we announced a year and-a-half ago, and performance of this book has been such, i.e., better than planned to warrant this accrual, which is clearly good news because it's performing even better than our own or the seller's expectation as a matter of fact. We then have a legacy IPO cost, which is borne by Mercury U.K. On the far right here of €28 million, which is non-cash and paid by Mercury as has happened in the past. And by the way, that is the last that we'll see of that. On Page 22, we can see how our normalized operating cash flow is strong at 78% in terms of cash conversion. Page 23, we look at leverage and we are landing at 3x leverage if you include the SIA net debt that we closed at the end of the year and the SIA EBITDA and synergies. So, pretty much where we expect it to be, given the guidance we've given in the past. If you look at it without the synergies, it's 3.6x. I would highlight how we were upgraded by SMP during the course of the year and hopefully, this is a virtuous path to further upgrades we hoped to have in the future. From an overall indebt [ph] perspective, I think we are reasonably happy with where we stand with regards to our capital base. We have a strong component of fixed rate indebtedness. So in an environment of increasing rates, that gives us comfort. We also have a pretty well balanced split of the instruments out there including equity-linked bonds and not only [indiscernible] notes. Page 24, we're benchmarking ourselves of actual performance against what the ambition was, which we announced in the summer at the end of July. And the summary of this is that notwithstanding the Omicron variant, which hit us in Europe towards the end of 2021, we still managed to deliver on expectations and on guidance. So we delivered 10% revenue growth, EBITDA, which was in the range of 11% to 13%, which we guided to with the margin accretion in 2021 of one percentage point compared to 2020. If you look at it, I think, more correctly over the two years of normalizing for the strangeness of 2020 given COVID, we have a three percentage point accretion, which is roughly 150 basis points per annum, which is roughly what we were increasing the EBITDA margin in the past. As I mentioned earlier, CapEx was broadly stable around 14% once we normalize for the underspend in 2020. And the truth is in 2021, we have upfronted as much CapEx spend as possible to make sure that we deliver the synergies from the integrations of Nets and SIA as quickly as we can. And in terms of leverage, I've just spoken through that. Just a word with regards to the fourth quarter performance, which was not only was the full year, I would say, in-line with our expectations, but the fourth quarter was also in-line with the consensus I had circulated before with -- if I look at EBITDA, for instance, the EBITDA for the fourth quarter was actually based on that front. Slide 26 gives you an overview of where the work streams we put in place in terms of the integration and just highlight how the organization was in place day one, as it says. For both Nets and SIA, we really hit the ground running and had used the time before effective dates of the mergers in order to do so. Procurement is structured, a number of work streams and initiatives aimed at capturing the lower hanging fruit with regards to negotiations and renegotiations with suppliers and supply consolidations, which will underpin at least part or a significant part of the synergies we expect for 2022, which we have highlighted B2B approximately €100 million in terms of cash synergies. So, both OpEx and CapEx. And on the revenues front, we have a commercial plan in place, which is actively marketing and cross-selling across geographies and the products have been a large group. Slide 27 just summarizes what we already said. We expect to generate approximately €100 million of cash synergies in 2022. This is up from just €18 million [ph] in 2021. The run rating of the OpEx front at least is approximately €20 million more. So, at the end of 2022, we will have in the bag, approximately €80 million of the €320 million cash synergies or €125 million if we include the OpEx. So, as I said, the point being that a lot of work went into this during the course of 2021 in order to be able to upfront as much as possible in 2022. Slide 29 gives you a picture of the group, including SIA. So, compared to what we've seen so far now that we have SIA on board from January 1, and the guidance that Paolo gave you is on the enlarged group, including SIA, not only Nexi-Nets, we have a well-balanced mix in terms of businesses with merchant services continuing to weigh for approximately half of our business and 20% of that is E-commerce, which is obviously high growth and interactive sector to be and a third of it is cards and digital payments and the rest being digital banking and corporate solutions. More than half of our business is in entity, which is structurally advantageous given the overall under penetration of the current market. We have greater exposure to volume growth, thanks to the deals primarily with Nets, which increases that component to approximately two-thirds. So two-thirds of our revenues grow with the rising tide of digital payments and we have greater operating leverage in the past with approximately 0.75 [ph] of our cost base being fixed and therefore, allowing us to translate growth in revenues into growth in EBITDA. If we look at the revenue performance as an enlarged group, SIA's performance on the top line was very similar to Nexi-Net. So, no wonder that overall revenues grow 10%, if you include Nets, so just north of €3 billion. The EBITDA margin accretion is slightly better. SIA's EBITDA and growth in 2021 was very high, close to 18% and just north of 18% and that helps us grow as an enlarged group of 13.6%. So, if we looked at it year-on-year growth in the setup we're now, the group grew 13.6% in terms of EBITDA and the margin accretion was 200 basis points if you look at it from an EBITDA margin perspective. For the various divisions, we have a similar picture to the one painted earlier by Paulo, so 12% growth, more or less in terms of merchant services, close to 9% in card and digital payments and just shy of 8% on Digital Banking and Corporate Solutions. The geographic mix also doesn't change hugely once we put in SIA. Italy grows at 11%, and Nordics was not impacted by the merger with SIA. DACH in Poland adds SIA's businesses in Germany, which are primarily issuer processing and therefore, not particularly exposed to E-commerce as Nets' assets and therefore that reduces or dilutes that growth a little, whereas it increases Southeastern Europe and other with the benefit of some of the payments assets and businesses SIA has outside of Italy and outside of Germany and Nordics, which increased that growth from about 8% pre-SIA through 11% this year. So let me close -- before handing the floor over back to Paolo with a reiteration of our guidance for the enlarged Nets-SIA Group and this is for full year revenue growth, which will lie between 7% and 9%, with double-digit growth in Merchant Services & Solutions. We expect our EBITDA to grow in the range of 13% to 16% and we have an EBITDA margin expansion of approximately two percentage points. This would have been higher. I said we have approximately €60 million of EBITDA synergies in the year. We're going to be reinvesting. That's approximately two percentage points of EBITDA growth that will be reinvested in our business, in particular, in E-commerce, and we're already doing so, and in Germany in order to secure structure longer-term growth.  Ordinary CapEx hover around 8% to 10% including the terminals as in the past and then we have that €300 million of additional transformation and integration CapEx, which we expect to deploy in flow by 2025, approximately €200 million of this in 2022. And finally, on leverage, we expect to close the year on an organic basis at around 2.5x leverage. That said, I would pass the floor over to Paolo for closing remarks and then open it to Q&A.
Paolo Bertoluzzo: Thank you, Bernardo. Let me just move to Page 35, which is the one that I started with and I will simply reiterate the key messages here. So volume-wise, we are seeing the continued recovery despite the challenges of Omicron at the very end of last year. The recent trends as we're also exiting from this new variant are actually very encouraging also in terms of a shift from cash to digital payments in the year. Strong performance in-line with our own guidance and I would say, with market consensus as well with strong growth actually in Merchant Services & Solutions in the last quarter and across the year. Good progress message in creating our new company, completed the combination we see that has been also performing very well and now moving into the execution on our synergy and transformation plans. Again, ambition for the new year, assuming we come back to normal at the beginning of next quarter, revenue, 7% to 9% growth year-over-year in EBITDA of 13% to 16%, reinvesting a part of the synergies into future, even stronger growth. Let me stop there and very happy to have your questions coming.
Operator: This is the conference call operator. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Hannes Leitner with UBS. Please, go ahead.
Hannes Leitner: Yes. Congrats to the results. Thanks for giving the guidance. Maybe you can drill down a little bit into the different subsidiaries and the different groups and then maybe also in the regions. I think you gave a sense on just the merchant service part, but it would be very helpful. And then the second element is maybe on the cost synergy extraction. You talked about your €60 million. I think I remember at Q1 last year, you were very confident that you can overachieve the synergy target. So maybe you can talk there a little bit about potential upside from that. And then maybe also around the phasing of the synergy targets? Are there some low-hanging fruits in terms of headcount reduction or processes, et cetera?
Paolo Bertoluzzo: Hi, Hannes. So thank you for the two questions. I'll leave the second to Bernardo. Let me just comment on the first one. As you know, we do not give a precise specific guidance by business unit and definitely not by geographies. But just to give you a simple flavor, as you can imagine, we are guiding for 7% to 9% for total revenues with double-digit growth in Merchant Services. This double-digit growth in Merchant Services is supposed to come quite generously, I would say across the various geographies. So that's, if you like, I think a key theme for us for the year. When it comes to the other two divisions, clearly, or if you just run the math here, you'd understand that the other two regions combined are more in the mid-single digit space, which is also due to specific events in the year. And again, here now we expect to see a continued strong growth, I would say, in cards and digital payments in Italy with the Nordics slowly recovering from the impact of the renegotiations. That's the picture that I would give you, if you like, at least as a flavor. Bernardo?
Bernardo Mingrone: Yes. So on costs, we remain bullish on doing more than the target we had set €320 million as the target in terms of cost synergies plus some one-off CapEx synergies, but then revise that upwards, saying we saw at least 10% upside, if not more, on that €320 million number. And the truth is there's probably even more. The point that we made in the past was that we didn't see any benefit in revising upwards these numbers given that they're likely going to materialize in the time frame, which is beyond people's interest, frankly speaking. A lot of these synergies come from closing down systems, platforms, rationalizing the group structure, which take years to be done. What we have identified, that €320 million is a set of synergies, which we believe we can deliver mostly by 2024. We said 90% plus of the cost synergies by then and most of them will be done shortly thereafter. So a time frame, which is within sight, I would say. And the significant portion of them as you've seen in 2022, if you look at the run rating of this, we have approximately €80 million of costs, essentially cost synergies or P&L synergies already in 2022, secured in 2022 on a run rate basis. Out of 217 total sets, a third of them in the first year of the merger. The good news, I think, is that through these mergers and the complexity, frankly speaking, that we need to work on, we have, I would say, a large bucket of synergies to draw on in coming years in order to absorb the incremental costs from incremental growth by taking out redundancies and overlaps in terms of our existing cost base.
Hannes Leitner: Okay, great. And maybe just a follow-up on yesterday's Bloomberg article around your Ratepay buy now, pay later business. Maybe you can give us here a little bit of a flavor in terms of the performance in 2021. I think 2022, 2020, they saw a 22% transaction growth and I think our revenues were around €60 million or something. So maybe you can give us an update on Ratepay.
Paolo Bertoluzzo: Hannes, thank you for the question. And we were obviously expecting that it is coming the first of you, which is absolutely normal. They're welcome. Listen, as you know, we don't comment on market rumors on specific situations, so on and so forth. Let me just reiterate to messages that I think we shared in the past as well. Number one, we continuously review the portfolio of our businesses. We have done it in the past when we started the Nexi journey back four, five years ago. And while we are known for what we bought, we should never forget that we also sold actually 12 assets or relatively small size, but we sold assets that actually we also lost, but they were not simply not strategic for the mission of the company, for the future of the company. So, we will continue to do so. Obviously, now we are combining a new group that is very large with a variety of businesses. As you can imagine, we have already started a review of the portfolio of businesses along the same lines. And we believe this is just good practice. The second message when it comes to Ratepay. Ratepay is a great business. It's a business that we love. It's a business that is led by a very front [ph] team with a great CEO that is Nina. They're performing very well in the year. I think the growth on the top line has been around 60%, 70%. And by the way, I think this is good to be underlined. They're also profitable, which is not always obvious for buy now, pay later businesses. So, amazing work being done by the team there. As you can imagine on this type of business, the strategy review that in the context of the portfolio, we are thinking, are we the right owners for this asset? Given the fact that at the end of the day for us as partner for merchants on acceptance solutions, it is important to be able to offer almost all or in any case, many buy now, pay later solutions and at the same time for Ratepay to continue to be successful and grow at its full potential. It's important to have access and be offered by also other PSPs and not just Nexi. That's the way we look at it. But again, it's a great asset that we like a lot.
Hannes Leitner: Okay. Congrats and good luck for this year.
Paolo Bertoluzzo: Thank you. 
Operator: The next question is from Josh Levin with Autonomous. 
Josh Levin: Hi. Good afternoon. I have two questions. On your last call, you talked about market share and how Adyen [ph] was taking some e-com share in Italy. What are you seeing now in the competitive landscape? And who is taking share across all of your geographies? And then to what extent do you have market share gains or losses baked into your 2022 guidance? Thank you.
Paolo Bertoluzzo: Hi, Josh, thank you for the question. I think that in terms of market dynamics, we didn't see any real change compared to our last call. I guess you are referring more precisely on what is happening in merchant services. Let me just quickly go through what we see in the SME space. The competition that we see at the moment is coming mainly from the players that are coming from -- with lighter solutions, some up with the easiest name to be used there. And that's a competition more on the front book normally with a lower-value customers. We are also competitive there. As you understood, we have accelerated a lot in selling our mobile post propositions in that space and that now represents 20% of the front book. So, no real change there as we are strengthening our own efforts and propositions. When it comes to E-commerce, you have seen our performance that I think is a good performance in terms of growth. This is true, I would say, across most of the geographies, in particular, in Italy where we see a great potential for future growth. Again here, no major news. Here, we are strengthening our efforts both on the proposition side, but also on the go-to-market and as I said before, we are clearly over-investing in E-commerce across the group. When it comes to large merchants, again, I want to remind everybody who are [ph] present about 4% of the total revenues of the group. And we continue to see the same competitive dynamic. And therefore at the end of the day, we have a couple of international players that are active across the various geographies. And here, maybe let me stop for one more moment because I think you're referring to the conference call that yesterday, one of our competitors had when they talked about an Italian merchant Italian brand in the luxury [ph] space. Let me make a few comments here. Let me make a few comments because I think it's a great example of the dynamics that we see in the market and is also, to be honest with you, a greater presentation on what our strategy in this space is. Number one, we believe, Adyen [ph] is a great company and I think a very strong success in a very specific segment of the market. And again, the type of competition that we see at least for now is really on a very global brand with an important E-commerce component and with globally-integrated [indiscernible] systems. This is a very specific segment where they're very successful and we really respect that. That's not the segment where we want to compete going forward. That's not our priority. While actually large retailers with national regional footprint with omnichannel needs with a stronger physical presence, that's really where we want to compete because that's where we believe we can deploy the best of who we are. That is a combination of our scale in offering innovative solutions, but also our local presence and our local entrenchment to be able to help the merchants in market across the board. Now coming back to that specific example that was mentioned, I think the net impact of that to us if acquired by them is actually positive. I think the net revenues that we have with the merchant in Italy, I think, is around minus €30,000. Now while instead and therefore, I think it's consistent with the dynamic that I've just explained, luxury global. When steady comes to other dynamics in the market only on in the last few months, we had different situations where we've been competing either with Adyen or Stripe, also Worldline. But I would say, in particular, Adyen or Stripe in the retail space for mass market retail, spare markets and stuff like that, either Italian but also international and actually, in the three cases, we won. Why? Simply because for these merchants, the local presence, local entrenchment, the ability to integrate with what is relevant in terms of systems in the market is probably at least for now more important. So I think it's a good example of how we see the future in that space as well.
Josh Levin: Thank you. And the second question about how much share gain or loss is baked in the guidance?
Paolo Bertoluzzo: Listen, we don't make specific assumptions in terms of share or loss. I think that broadly speaking, we are more or less. If you just take the end of all markets, all geographies and so on and so forth, I think we are broadly in-line with what we expect the growth of the market to be in the coming years. And then I'm sure that instead if you look at individual geographies, we clearly have ambitions. I mean, we clearly have the markets where we are attackers and we want to grow and we will grow. I could mention Germany, I could mention Switzerland, I could mention Poland and others. They are [indiscernible] markets where we are already very, very strong and clearly, we are sure that to begin with, that we consolidate our position. Obviously, Italy is an example, the Nordics, Denmark, Norway would be other easy example. So, it's actually a portfolio I think we are broadly in-line with the market. 
Operator: The next question is from James Goodman with Barclays. Please, go ahead.
James Goodman: Good afternoon. Thank you. A couple from me then, please. Just firstly, maybe stepping back and thinking about the sustainable level of profit growth of the business. I guess touching on the reinvestment of synergies point and I accept maybe this is more a topic for a CMD. But we're quite used to the 13% to 16% EBITDA growth the business gave at IPO. You've called out €60 million of P&L synergies coming through this year. I think you also guided to revenue synergies having an EBITDA or impact as well that are starting to come through. So I guess my question is, how should we think about you balancing reinvestment of those synergies you've talked to coming through over the coming years with the underlying profit growth of the business? And should we be thinking about an acceleration of EBITDA because of the benefit of a higher proportion of synergies in the outer years? Or should we think about it more in balance and keeping you in that IPO range? And then if I could just ask another question on the balance sheet efficiency of the business, I think when I look at your pro forma modeling now, the interest rate cost is a little higher than I anticipated and that's largely because of the amount of gross debt versus the net debt, and you're running with over €2 billion of cash, I think on the balance sheet. So, is there a plan to refinance that? How much can the business run with in terms of sort of gross cash? Thank you.
Paolo Bertoluzzo: Hi, James. So this is Paolo. I'll let Bernardo take the second question. The first one, as you rightly said, this is a longer-term type of outlook. It's something that we would leave for later in the year when we will have a Capital Markets Day and we spend more time together, we'll give you a broader overview of the strategy and the outlook as well. I think the comment I can make for 2022 is that we're actually investing a large part of the synergies in accelerating growth, as I said, in particular in E-commerce and Germany because we believe it's the right thing to be done given the revenue growth potential that we have there. Going forward, we expect the synergies to kick in at stronger levels as you have heard from Bernardo. I mean we have promised a €300 million plus cash synergies and we said that in the longer term, we believe we have even more. And therefore, that will kick in. I don't believe we will necessarily continue to expand the over-investment because this is a first year of push. Probably next year is going to be similar to that, but mid-long-term, I would expect that the combination of this to create further margin accretion and therefore, a potential acceleration, but further acceleration of EBITDA. But again, let's leave it for the conversation on mid-long-term guidance when we get there later in the year. Bernardo?
Bernardo Mingrone: Yes, on the capital structure. So I'm pretty happy with where we are today. We only -- the next refinancing deadline is in 2024. So we have a couple of years to monitor markets and take advantage of any window of opportunity to tap them if need be. But just on the point of gross leverage driving the cost, yes. And just bear in mind that we paid down approximately €800 million of SIA debt just after the close of the year. So what you see there, the €7 billion odd gross of indebtedness went down by close to €1 billion at the beginning of January when we actually closed SIA, so, now everything was shut on the 31st of December, we refinanced that on the 3rd of January, I think it was. And then going forward, we'll just monitor as we have in the past, the market and see if there's a window which is conducive to trying to again extend reduce the cost of debt even though we need to wait for our cost of credit to come down, thanks to the credit rating and the markets are moving in a different direction. So it's a difficult balancing act. But right now, we don't need to do anything to keep the cost where it is, which is good news.
James Goodman: That's helpful. Thank you, both.
Bernardo Mingrone: Yes.
Operator: The next question is from Sébastien Sztabowicz with Kepler Cheuvreux. Please go ahead.
Sébastien Sztabowicz: Hello, everyone and thanks for taking the question. On the e-commerce business, it has been once again very strong in Q4. I guess you mentioned 30% growth more or less. You had also strong growth from BNPL and also account-to-account. I was wondering, is this a sustainable growth trend that you can keep in the coming quarters because some peers and the bibber peers in the U.S. was blaming a kind of slowdown in the e-commerce market for the coming quarters. It would be interesting to have your view on the trends on commerce. And restated from rate pay, which is growing very fast, what is the underlying growth of the rest of the e-commerce business? That is the first question. And second one is on Italy specifically and digitalization of payment. What is happening there? What is the cap penetration today? And is there any specific, I would say, measures from the government to stimulate the adoption of electric payments for the coming months. Thank you.
Paolo Bertoluzzo: Hi, Sébastien, this is Paolo. Listen, first question, let me try to put it this way. As you have understood today, the growth is very well sustained the buy-now-pay-later and also the owned account-to-account products that we have in some of our geographies. We're obviously very happy with that, but actually most of the effort that we are doing right now, and we see good progress there is actually to rebalance this growth and having more contribution from, if you like, the more traditional PSP and acquiring propositions. The dynamics in different geographies are very different. We are seeing in that space pretty strong growth in Italy, a bit lighter in the Nordics and we are starting to accelerate in Germany, continuously performing well in Poland. That's, if you like, the full picture. But as I said, going forward, that's going to be a key element in terms of our priorities. When it comes to digital -- to digital payments transition in Italy, I mean you've seen yourself some of the numbers that we're serving in a different -- in different sectors. So we see that continuing. And therefore, we remain very, very positive for the outlook. And again, it's easier to talk about Italy because we are here, we know the market much better, but I'm also very impressed by what we are seeing in the Nordics and in DACH, when it comes to the basic consumption sectors. I was making the example of grosses because at the end of the day, it's something that is not affected by COVID. So I remain very positive definitely in Italy, but I would say more in general. I think a key question that is out there is how rapidly -- the travel sector that is important in terms of overall weight is depending on the market from, I would say, don't know the -- I'm talking about the high input sectors, depending on the market, it's anywhere in between a four [ph] to almost half in Germany of the volumes, not the revenues, but the volumes. I think it's going to be very important to see how that recovers with what type of travelers and so on and so forth. When it comes to the measures, I would say there is nothing new in the sense that, as you may remember, the current government a few months ago, they did decide not to renew the one most visible measure that was the cash back measure. While at the same time, they did decide to do two or three things. that are, we believe, really positives report digital payments. But basically, they are given the possibility to the merchant to deduct from their tax is 100% of the commissions that they pay for, I think, this year, next year, remember, I mean for two years. Similarly, they allow them to deduct from their taxes, the cost of renting a terminal with the associated services, again, I think, for a couple of years. And more recently, they've decided -- you may remember that in Italy, there is -- it is mandatory to have a terminal and accept digital payments. It's mandated merchants. But there is no fine if you don't do it. And the government has decided that a few weeks back to instead put in place fines not from this year, but actually from next year to allow merchants to basically comply in a more rigorous way. All that said, I think that the evolution that we see is driven not necessarily by these measures or by the risk of fines and so on and so forth. But more and more by the clarity and the real understanding of the merchants that accepting digital payments is much better for their business, because it's more efficient than cash, it's better than cash, it's more secure than cash. And I think there is more and more understanding of these, also in Italy it's also -- it is already very, very clear in many other geographies. So we believe that the outlook remains very positive.
Sébastien Sztabowicz: Thank you.
Operator: The next question is from Mohammed Moawalla with Goldman Sachs. Please go ahead.
Mohammed Moawalla: Great. Thank you. Afternoon, Paolo, Bernardo, hope you're well. I had a couple from my end. Firstly, Paolo, when you think of the sort of 7% to 9% revenue growth for the year, can you perhaps just walk us through the kind of assumptions, particularly around the kind of pace of reopening and what you're baking in? I know last year, you had put in some optionality around sort of travel and given just the sense of the potential kind of upside with travel and tourism rebounding. And related to that, could you also talk us through perhaps the cadence of how this growth should shape out over the quarters of this year. And I appreciate a lot of moving parts here with the different subsidiaries. The second one was for Bernardo. You obviously talked about your kind of ambition to exceed on synergies. But on the investments that you're making, can you talk us through the phasing of that? Is that going to be more front loaded and you have a bit more kind of discretion around how those come through? And could you specifically detail around e-commerce, what investments you are specifically making. Thank you very much.
Paolo Bertoluzzo: Hi, Mo. And we are actually -- well we hope you're the same. Thank you for the question. So let me split them slightly differently from the way you have asked but. So what is underneath the 7%, 9% guidance we're giving for the year. I think a short way of putting it is actually the following again. We basically assume that the world will go back to almost normal from the second quarter this year, which means that we go back to the trajectory that was already starting before Omicron came. And therefore, we're actually projecting strong growth across the various geographies from the second quarter, at least in basic services, at least discretionary service as well. The one area that I mean is affected, it's clearly travel sector. I think here the jury is out to understand how rapidly it will come back. And by the way, with what type of mix now because clearly, we all understand that probably now tourism may come back faster, and we've seen it in the summer in Italy than business travel and business travel may be coming back at a softer level structurally compared to the past. My personal point of view, by the way, is that over time tourism will come back strong, stronger. And we probably will balanced potential structural softness of business, at least in geographies that are tourism intensive, such as, for example, Southern Europe. I said that, but just to give you a flavor, of what's underneath, if I take Italy -- and you've seen that international travelers coming here are now minus 35% compared to pre-COVID levels or something like that. Basically, we expect these to more or lines continue even softening, but softening in the quarter this year -- in the first quarter and then basically coming back to positive from second quarter. Then from there onwards, we are not expecting a massive growth. And again, we remain maybe in this specific case, a bit conservative because we really need to see how it develops in terms of business travelers versus tourists. But again, we expect also this one to come back to positive from the second quarter, which, by the way, is what happened at some point in the summer last year. So this is based on evidence that we had from the past. Let me hand over to Bernardo and then I'll come back to comment on your question on the euros of investment for e-commerce.
Bernardo Mingrone: I think Paolo covered a lot of the first question on the -- in terms of the volumes that drive a large proportion of our revenues, we saw 3/4 or 2/3 of the revenues. What we expect in the first quarter to be affected by where we exited 2021 and entered into 2022 buy [ph]. So a situation in which there were lockdowns pretty much across Europe. And the situation will rapidly increase and recover and we expect the second quarter to be better -- significantly better than the first quarter in terms of growth. And that environment will continue throughout the year, as Paulo said, at the end of the year, we reached a pretty much pre-COVID scenario in terms of foreign travel, both business and tourism. So I hope that answers the question in terms of phasing. We're actually -- when we walked into budget discussions back in October, we actually thought the first quarter would be the best if we looked at it against 2021 because 2021 was a very severe lockdown period for the next at least in Italy, whereas now, given where we ended up after Christmas and the beginning of January or through the first half of January, it's kind of taken part of that away from us. But as I said, it doesn't change our outlook for the rest of the year being extremely positive. In terms of the investment, so the e-commerce investments are not -- I'll probably hand the floor over to Paulo with regards to what areas we're looking to invest. But in terms of financial impact, I mean, it's unlikely that these are going to generate huge impacts in the short term. Obviously, we're building new products, services, accessing new markets, and this takes time. So we can definitely try and work on the phasing of the investment part, but in terms of the revenues flowing in, that's going to be a little slower than the spending part, which is why we have that margin erosion. Unfortunately, we have the synergies to offset that, which is the balancing act we're trying to carry out.
Paolo Bertoluzzo: Yes, Mo, let me come back on where we are investing in terms of or where we see the areas of opportunity and where we're spending the money as well. So let me try to simplify. Number one, most of the investments, most of the focus is going to be on the mid-market, so the midsized merchants or, if you like, the upper part of SMEs, where we see a lot of market potential from a local merchant or regional merchants. So this is not intended to be in the very large global e-commerce merchants, but it's really to what is relevant in our geographies, in our footprint and so on and so forth. So that's number one. Number two, in terms of focus, geographical focus, clearly, again, there are certain geographies where we see more potential than in others. But honestly, we'll be investing across all the geographies where we are present. I think at some point, we will also consider the opportunity to launch greenfield in markets where we are not present at the moment -- in geographies we're not present at the moment. But it is not in the plan for now, but definitely we'll consider it, I think, later in the year. Where do we spend the money in terms of what we pay for Basically, there are two fronts here and we will be working on them at the same -- we're already actually working on them at the same time. On the one side, go-to-market, I think that with the propositions that we have at the moment, we can do more, even more than what we are doing right now in terms of sales results. And this means actually more tiered sales, and of course it's people, more investments in digital channels that are more and more important for this type of segment. And last but not least, more and more partnerships with IVs [ph] but also with e-commerce platforms across the various geographies. The second area is obviously the part the proposition here. We already started. It's a combination of reaching the proposition with additional functionalities, additional valued services, more intelligence-efficient business -- say machine learning on the back to improve the conversion rate for our merchants. But also investments dedicated to localize very, very effectively these propositions in the various markets, not only the ones where we're already very active like Italy or the Nordics or Poland, but also the ones where we are -- such as Germany, Switzerland and others.
Mohammed Moawalla: Great, thank you very much.
Operator: The next question is from Aditya Buddhavarapu with Bank of America. Please go ahead.
Aditya Buddhavarapu: Hi, Paolo and Bernando. Thanks for taking my questions. Just quickly, I think on the -- you spoke a lot about your success in some of these alternative payment methods like account-to-account, BNPL. Can you maybe talk about the unit economics of those and how those are actually sort of in terms of the revenue model there? And then second one, as you look at the large account segment rails [ph] so that you've been winning against some of the digital native and traditional competitors. Can you maybe talk about in those sites, how are you actually differentiating yourself and actually how you're able to win those contracts and the other [indiscernible].
Operator: Gentlemen, is your phone on mute?
Paolo Bertoluzzo: Sorry, but we are having these lines that go on mute. Let me try. So the account-to-account and buy-now-pay-later, listen at the end of the day, the way it works is that you are at the same time the PSP acquirer somehow and the payment rail. And this makes the economics of this -- when you own it pretty attractive. So these are good margin businesses to begin with. Because at the end of the day, you don't have another third party that you need to pay money to because you distribute your "scheme" and you don't have someone else to be paid for. This is particularly true, I would say, for account-to-account, then the level of take rates that you have depends on the market because clearly, it has to remain competitive with card schemes and the alternative propositions in the market. But normally, it has a pretty attractive economics when you own it. Buy-now-pay-later is a similar threshold, but for the cost of risk, as you can imagine. And therefore, here is structurally a less profitable business compared to account-to-account or PSP. Here it depends how good you are or how bad you are in managing risk or if you like managing the balancing of risk and letting the customer transact on that specific transaction. Normally in buy-now-pay-later, the player and it's also our case, charges pretty -- I would say, a nice merchant -- a merchant fee that depending on the player in the market, can be above 3%, 4% and that has to cover the risk. In our case, as you've understood, thanks to the ability of the team, thanks to the investments we have done in technology, in managing properly all the possible information that is available in the market, plus the one that is built through history by our systems, we are able to make the business profitable. But as you know, not all buy-now-pay-later players are profitable. And this is the space where -- when you own account-to-account, you own buy-now-pay-later. I think it's important to remember that even when as a PSP as an aggregator, collecting PSP, you distribute account-to-account proposition or buy-now-pay-later propositions of third parties that also can be a profitable business and that's actually what we are seeing in some of our geographies as well. When you -- sorry, the second question was around how do we differentiate with competitors. Again, I guess you are referring more on what is happening in the omnichannel space and e-commerce space. Again, here, the simple theme for us is offering the best combination of on the one side, products on the one side, the product capabilities that have to be as good as or better than the ones of the newcomers in the market for that specific segment. But at the same time, having everything that is needed to add the merchant locally from integration of local schemes, to integration with the locally relevant ERP systems to customer support to the integration with the physical channels and so on and so forth. If I look at just to be very, very practical, the -- the three cases I was mentioning before, the three cases I was mentioning before, where we won with the new challenger players in Italy. One is because we already had a very strong relationship on corporation business [ph], and we have the availability of a very specific plug-in in the ERP systems that are -- that was necessary. The second case, again, it had to do with the ability to integrate with the reporting systems of the merchant and post-sales guarantees and systems that we could provide. The third example, again, a strong relationship across other businesses as well and bundled solution for the different components. So these are characteristics that are obviously are relevant not for all merchants. And I think we were talking about luxury before. For those brands probably global integration is more important. But actually, the vast majority of our business is with customers that require local ability to integrate, customize and support.
Aditya Buddhavarapu: Great. Thank you for that. Can I just ask one follow-up on rate pay. I think you said that it's growing about 60%, 70%. In the past, I think you said that's about tens of millions of revenue. Could you maybe just give an update on the size of that segment or that business?
Paolo Bertoluzzo: It's somewhere around €100 million.
Aditya Buddhavarapu: And that's on an annual basis, right, yes.
Paolo Bertoluzzo: Yes.
Aditya Buddhavarapu: Okay, thank you.
Operator: The next question is from Antonin Baudry with HSBC. Please go ahead.
Antonin Baudry: Hi, good morning, Paolo and Bernardo. Most of my questions have been answered, but two quick follow-up. I know that you will organize a Capital Market Day later in the year dedicated to midterm guidance. But can we say that the 7% to 9% revenue growth guidance for 2022 is a good proxy for your top line growth during the next three to four years? Or do you think that this guidance for this year are still impacted by Omicron, the renegotiation of contracts and we could see the midterm guidance to be stronger than that? This is my first question. My second question is about consolidation of the European payments market, it possible to update us on this. Do you target particular countries? Where do you see the opportunities? And when do you expect to close or consolidate the acquisition in Greece. Thank you.
Paolo Bertoluzzo: Antonin hi, good to find you again. So listen, on your first question, I think you said it all, actually, with the rationale that you applied to our 2022 guidance. As you've understood, our '22 guidance, is partially affected by this COVID by at the beginning of the year, but also, to be honest with you, supported by the fact that last year was not a normal year either. So I think that net-net, when you look at non-merchant services, the things more or less balance one-each other, while in the other two divisions that are linear effects that are either one-off or unwindings or, in any case, will fade away. So I think there is room to believe that the mid-long-term guidance could be stronger, also on the back of the extra investments that we discussed before to accelerate growth in certain high potential areas. But again, let's have that conversation because I cannot confirm it now. And I don't want to confirm it now because otherwise, if we were at very high confidence that we'll be giving it today. But I think the rationale that you have in mind, I think, is the correct one. The -- as far as consolidation, again, I think we are super busy at the moment in consolidating the three businesses that we are putting together and creating value out of it for our customers and our shareholders. We will continue to consider opportunities to begin with in the geographies where we are present, if and only if they are available at -- with the right valuations and with the right -- with the right conditions. We will try to stay focused on these geographies and consider only by exception or anything outside of it. And again, the focus will continue to be pretty much on a merchant services. And I would say, with a particular focus on SMEs and e-commerce. But on your broader question on our consolidation, I think we'll continue to talk about consolidation in our industry in Europe, I think, for the next 5 to 10 years, to be honest with you, because there are still so many things happening, so many assets out there available, so many dynamics that this will continue for a long time. And by the way, I think will continue to offer good opportunities.
Antonin Baudry: Thank you. On the closing of the Greek acquisitions?
Paolo Bertoluzzo: Sorry, I didn't catch it. Well, we expect it to be around at the end of the first half of the year.
Antonin Baudry: Okay, thank you very much Paolo.
Operator: The next question is from Alexandre Faure with BNP Paribas Exane. Please go ahead.
Alexandre Faure: Hi, good afternoon. Thanks for squeezing me in. Just wanted to touch on the Slide 11, I think you showed in your exposure to SMBs. And I think in the previous answer, Paolo, you elaborated on the ISV channel. So a few things here. I was wondering if you could share with us perhaps how this SMB revenues breakdown by channel, ISVs direct, bank-led distribution, any color here would be helpful. And then, if you could come back for a minute on the revenue model and incentives you have with those ISV partners? Is it a revenue share? Is it a referral fee? And are you happy with the way it's going? Or do you think you need to establish deeper relationships with ISV where they might become payment facilitators. And is it something they're keen to do? Or you're not seeing that market trend in Europe at the moment. Thank you very much.
Paolo Bertoluzzo: Hi, Alexandre and thank you for the questions. Listen, we don't provide a breakdown of SME sales by channel also because unfortunately, definitions are very, very, very different by market and very blurred as well. But let me again try to give you a little bit of a flavor of that. If you look at Italy, the vast, vast, vast majority of the fresh revenues that are coming in are with the banks, with the banking channel and the banking channel includes in our mind, both the licensing model, but also the referral model. So where we bought of books SIA [ph] bank, is super active in partnership with us, on the sales activity. So while we are strengthening our ability to sell also on digital, retail and through partnerships with software vendors and so on and so forth. The vast majority of the business is still with the banks and we are simply preparing for our future and also covering segments of merchants that are starting to shop in different ways or do require more technology support. When it comes to the other markets, I would say that the banking channel, and I'm talking about here the next geographies -- sorry, I would assume that Greeks will become the same after we launched with Alpha Bank, a super strong partnership. We love that partnership and we will develop it hopefully successful as the ones that we have developed in Italy, and you just heard about [indiscernible] from Bernardo on the Intesa book. Now the -- for the other geographies, actually -- the vast majority of it is not dependent on the banks. It's either direct sales, in particular for the mid-markets or software or sometimes also terminal vendors we partner with. I think then you have a lot of teleselling and cross-selling from customer care and more and more the digital channel is also starting to contribute. And by the way, this is one of the key priorities for the group. When it comes to the revenue model, you have to be honest with you, you have a little bit of everything. It really depends on which case you're talking about. And the vast, vast, vast majority of the cases, we give them either a recurring -- give them basically a margin, a recurring fee that is clearly already embedded into our own numbers and projections. Sometimes one-off acquisitions, acquisition contribution. And for now, the in the -- sorry, remind me the name of the model -- the wholesale model is something that we're really not engaging at the moment. And by the way, to be honest with you, the more we spend time with software vendors and the more we talk to them and we explain to them the complexity of our business, the more we succeed to keep them on the current models.
Alexandre Faure: I see, I see. But at the moment, just to make sure I got that right, you're not seeing appetite from these ISVs to launch ISV pay powered by Nexi, nothing like that.
Paolo Bertoluzzo: We try to stay away from that as much as we can. But -- sorry, but let's be clear, the -- I don't believe the name is what comes. You were talking about the payment facilitator model that I was referring to, I call it, wholesale, which is at the end of the day, what it is. So regardless the way they call it -- it's a model that at least for now we try to avoid, we consider by exception.
Alexandre Faure: Okay, okay, got it. Thank you very much, Paolo.
Operator: The next question is from Paul Kratz with Jefferies. Please go ahead.
Paul Kratz: Hi, everyone. Thank you for squeezing me in. I don't want to keep you for too long. I think maybe the first question to start with is, you upped your stake in orderbird in Germany, and clearly, you're investing a lot more in that market. So it'd be great to kind of get an understanding of how something like orderbird fits into this ecosystem of value-add services for smaller merchants. The second question I had is the CDP business of Nets has actually done really well over the last couple of months. It would be great to kind of get an idea of what is the ramp that we should expect for wins like the Degussa and how that pipeline kind of looks for you over the next couple of months. And I think the final question that I had and is more focused on OpEx, is it would be great if you could just kind of update us on how the in-sourcing projects are going, both on the side of Nexi and I guess as well Nets and the level of Concardis and how we should think of the benefit of those migrations into kind of 2022 and whether you're actually reinvesting that operating leverage or we should start to see some of that beat through. Thank you, guys.
Paolo Bertoluzzo: Paul, so orderbird, what, I guess it's the broader software space, what you have in mind. Listen, we like the case of orderbird because for us, it's going to be a very interesting testing ground for us. And I think this connects nicely to the previous conversation we were having on software partnerships with Alexandre a moment ago. We are very happy to be owners or partial owners of this asset in Germany because it will give us a real chance to understand the effectiveness of the cross-selling, upselling and all of that. Clearly, this does not mean that we will go around to try and buy software hazards around, it's not the plan to be very, very clear. The current plan is actually to partner as much as we can in the various geographies for what is relevant in those geographies. I give you -- another example, in Italy, today, we are setting up partnerships that already started or that are going to start with the -- basically the key players active in the SME space when it comes to the ERP systems and sharing [ph] systems of the shops and we're actually partnering with this -- with many players, but in fact, there will be three that do represent, I think, 60%, 70% of the total market, just to give you an idea. And definitely, we're not planning to buy them, but we are developing very nice partnerships with them. So, I believe it's going to be a mix of different situations. This orderbird case is for us a very, very interesting one. But in any case, we are developing more and more partnerships with software players, especially in the sectors where this will become relevant because I think it's also very important to underline that the relevance of the potential conversion of software and payments is very, very different, depending on which sector you're talking about, which size of merchants you are talking about and so on and so forth. On the capital ex -- payments, I'll let Bernardo to talk, yes.
Bernardo Mingrone: Yes, I can take that. Yes, thanks for the question, Paul. I think we're very happy with development in Nets of their UNI platform in general, the way CDP is developing, obviously, structurally. Nordics are markets, which is much more penetrated than Italy and as such, is characterized by a lower growth rate, underlying growth rate, but mid-single-digit level is where we're at. We're very pleased to have secured almost all contracts now in terms of the renegotiations which we -- Nets was carrying over from the IPO days. So it's a business now that is looking to move outside of the traditional countries, Nordics, as you were mentioning, Degussa was a big win. This year, I think we have others in the pipeline and indeed, discussions have been, I think, very constructive and fruitful so with EPI, where we would hope that our Nets capabilities would be highly valued in terms of that initiative. So indeed, a business which is structurally different to acquire, but nonetheless, performing pretty well, not only in the core Nordic markets. With regards to in-sourcing, well, I think you referred to it correctly, we had huge in-sourcing projects at Nexi, which was historically outsourced Worldline and to SIA and now that we are merged with SIA we see that aspect of things is more or less taken care of, need to rationalize the platforms. But doing it from a position of greater certainty and strength in terms of ability to execute. With Worldline, this is an ongoing discussion, I think we've already significantly reduced our reliance on Worldline and there is -- we've now completed our core acquiring platform. That progress is picking up pace. And whereas Nets, think itself, as we mentioned in the results, Coventry [ph] is undergoing its own transformation. One aspect of this, as you were suggesting, is in-sourcing from the German outsourcer provider of processing on to our platform in Germany that is progressing well. Now all of these benefits from in-sourcing and synergies from rationalizing our platforms is what feeds that €320 million number, of which €100 million are going to be hitting us in 2022. And we'd love for that to be quicker, but unfortunately, I mean, they're pretty sizable in-sourcing activities complicated, and they take time, and really, we're running as fast as we can. We hope to over deliver. But right now, this is what we are committing to.
Paul Kratz: Okay. And just maybe a small follow-up on the CDP business. I mean, when you kind of think historically of this business maybe being more around mid-single-digit growth, with the success that you've seen with again, Degussa and maybe the pipeline you have, do you see there's actually scope that you could maybe break out of that mid-single-digit range over the next few years?
Paolo Bertoluzzo: I think, Paul this is -- it's Paolo. Let me just complement what Bernardo said, I think it's -- I mean you see it once you start seeing many new wins of large customers, that's one. But also, and this is the parallel priority for us, as I mentioned before, the key theme for us going forward is also to try and make sure that we increase the value we provide to the customer base of banks outside of Italy. As you may remember, the vast majority of the relationships that we have, both in Nets and SIA outside of Italy are processing like contract [ph] relationships. And we believe there is a great amount of value of increasing -- sorry, there's an amount of work to be done to increase the value of these relationships, either selling more components of processing like servicing, like type of relationships. I was mentioning before the work that is already starting to do successfully, Nets around card management system, account management systems or also selling more valuable business models like the one that we have in Italy, that is the licensing business model than I was mentioning as an example, the fact that we are there been many conversations outside of Italy on banks to add them in running their customer value management activities. These are very high value, maybe not too large, but definitely a high-value proposition. So on the one side, trying to develop a larger customer base beyond Italy and the Nordics, but at the same time, are creating more value in the current base. If we're able to...
Paul Kratz: Okay, that's very clear.
Paolo Bertoluzzo: If some of these dynamics -- you can be more optimistic, even more optimistic on the growth profile.
Paul Kratz: That's very clear. Thank you.
Operator: Next question is from Gianmarco Bonacina with Equita.
Gianmarco Bonacina: Yes, good afternoon. Just a follow-up on the theme of the reinvestment of the synergies. If you can talk -- you talked before about e-com. Can you talk about Germany? You are making here investments in pricing or also go-to-market marketing, if you can clarify this. And more broadly, in the midterm, you mentioned next year, you're going probably to reinvest in some of the synergies. But in the midterm, how should we think about the payback of this reinvestment? So in 2023, 2024, you expect to have in the P&L, the full amount of synergies or still a part of that will be reinvested. Thank you.
Paolo Bertoluzzo: So let me try to take the first one, and I'll leave it to Bernardo for the second. I think we partially covered it before, but I'll try to give you a bit more color if we can. On Germany, at the end of the day, Germany, the focus is going to be very much in line with what I've been commenting around e-commerce. First of all, an important part of the e-commerce investments are going to be getting into Germany. So a combination of go-to-market and proposition. But again, the investment in Germany will go beyond e-commerce will definitely be in the SME space, I would say, across the board. And again, here, it's going to be a combination of a combination of proposition and go-to-market here in terms of proposition, we already have a proposition that is progressing very well. That is the comprehensive digital proposition all in one smart pay that's already progressing very well and therefore, we believe that adding more firepower to it a bit with direct sales. But most importantly, through partnerships and digital channels and so on and so forth, can really make a big difference. And last but not least, on larger merchants, we will also be investing but in a very selective way in specific verticals where we believe we can be really competitive. And honestly, investing on price is not per se the strategy. We don't believe this is, at the moment, at least not in these markets, a price-driven space. And I think this is good news. I think that reaching out to merchants in the right way with the right propositions is with the right support in terms of service and capabilities is the best way to go forward. So that we consider ourselves more of a challenger in Germany. So we're not worried at all about price dynamics in that market. But honestly, we don't believe is the right way to win market share. On your second point, again, we are trying to avoid to give at this stage, mid long-term guidance. But as I commented before, the way you should think about it is that this year, next year, we're going to be years of investment in the sense that this year, these extra investments do have a negative EBITDA contribution because the impact on revenues is very, very limited, while actually we are ramping up the investments and the resources quite rapidly. I think next year, you should look at it as more or less a year where you start to be more or less in balance than from year three, year four, we should definitely generate an acceleration of not only revenues but also EBITDA, while synergies will kick in stronger. And therefore, there will be no further need to reinvest them in this specific case. So that's the way we see it. And clearly, these investments are supposed to deliver for us growth on top of what our earlier plan were. Then I think as going forward, we see further opportunities elsewhere, then we will have other conversation, but that's the way we see it at the moment.
Operator: [Operator Instructions] There are no more questions registered at this time.
Paolo Bertoluzzo: Thank you. So let me just thank you all of you for being with us today. Again, simple messages. We see a good recovery and actually I think very positive about the outlook for the new year as the situation normalizes, stronger delivery for this year and outlook for next year and more broadly, good progress in aggregating the company and transforming the company on the back of the completion of the combination with SIA as well. Let us stop here. I hope you will enjoy the rest of the day. Hopefully, with COVID fading away, we'll also be able to meet in person. And therefore, we look forward to addressing you in video or ideally in person, very, very soon. Thank you very much. Bye-bye.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.